Operator: Good morning, ladies and gentlemen, and welcome to the Loblaw Companies Limited Second Quarter 2023 Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, July 26, 2023. I would now like to turn the conference over to Roy MacDonald. Please go ahead.
Roy MacDonald: Thank you, Michelle. Good morning, everybody. Welcome to the Loblaw Companies Limited second quarter 2023 results call. As always, I'm joined this morning with, in the room with Galen Weston, our Chairman and President, and with Richard Dufresne, our Chief Financial Officer. And before we begin the call, I want to remind you that today's discussion will include forward-looking statements, which may include but are not limited to, statements with respect to Loblaw's anticipated future results. These statements are based on assumptions and reflect Management's current expectations; and as such, are subject to a number of risks and uncertainties that could cause actual results or events to differ materially from our expectations. These risks and uncertainties are discussed in the Company's materials filed with the Canadian Securities Regulators this morning. Any forward-looking statements speak only as of the date they are made. The Company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future results or otherwise, other than what's required by law. Also, certain non-GAAP financial measures may be discussed or referred to today, so please refer to our Annual Report and other materials filed with the Canadian Securities Regulators for a reconciliation of each of these measures to the most directly comparable GAAP financial measure. And with that, I will turn the call over to Richard.
Richard Dufresne: Thank you, Roy, and good morning everyone. I'm pleased to report that we continue to deliver consistent operational and financial results with solid top line performance and strong earnings growth. We remain focused on delivering value to consumers and carefully managing our expenses, all part of retail excellence. On a consolidated basis, revenue grew by 6.9% and EBITDA increased by 9.4%. Adjusted earnings per share grew by 14.8% to $1.94 a share. On a GAAP basis, our earnings per share reflected a 36% increase. This was unusually high as we lap $100 million onetime charge last year, specifically related to PC Bank. In Drug Retail, absolute sales increased 7.4% and same-store sales grew 5.7%. Front-store same-store sales drew by 5% on continued strength in cosmetics and health and duty. OTC performance remains strong, but off its peak levels. Similarly, growth in our drug business has moderated as it lapse last year's post-pandemic reopening. Pharmacy same-store sales grew 6.3%, driven by growth in acute and chronic scripts, partially offset by lower COVID vaccines and testing. At the same time, we're pleased with the growth of services related to expanded scope of practice. In Food Retail, absolute sales increased 6.4% and same-store sales grew 6.1%. In Q2, our internal food inflation number was generally in line with the CPI. However, shoppers in our grocery stores actually beat inflation by taking advantage of our pricing, private brands and hard discount stores. That means that our Loblaw shoppers experience a lower rate of inflation than CPI. As we battle inflation, we remain highly concerned about ongoing cost increases. And I wanted to offer some facts. This year, suppliers have raised the price we pay for products by more than $1 billion. This is double what we would expect normally. We have received double digit increases from the same suppliers who gave us double digit increases last year. That’s why you see products that are noticeably more expensive than they were just a couple of years ago. While cost increases are coming in from all tiers of our supplier base, the largest global brand standout. Let me give you an example. Since inflation began, one of our largest vendors submitted price increases totaling 50% or $0.25 billion. That’s just one supplier. Here’s another good illustration. In Q2, the average price for meat, fruit and vegetable purchased in our stores were up in the mid-single digits. But the average purchase in the center of store where you find the biggest brands was up in the double digits. At the same time, our food project – food profit margins have declined as our cost have grown faster than our prices. The math is very simple, cost increases from big brands were well above Canada’s food inflation and our food margin decline. Suggestions of grocer property ring just don’t add up. Food inflation is a global problem. The causes range from climate change to war. We know that some cost increases are justified, but many are not. The price of transportation, wheat, flour, paper and plastic are all well off 2022 highs. Our teams are actively reaching out to our largest suppliers, pressing for cost decreases based on these facts. With lowered cost, we will lower prices. Returning to our performance. Our ability to deliver value was reflected across our food business. Our hard discount banners continue to outperform the overall discount channel, delivering strong traffic and item count growth as customers continue to focus on value offerings. And in Quebec, our discount position continues to grow. We converted 10 Provigo stores to Maxi in the quarter, and we’ll convert another 10 stores in Q3. We continue to be very pleased with the sale growth being generated from these converted stores. Our market banners remain healthy despite the ongoing shift to discount stores. Having the right customer offer in all our stores remains a key focus. Right-hand side posted a solid quarter with all major categories delivering positive same-store sale and apparel outpacing food same-store sale. That said net-net it remains a drag on our same-store sale performance to the 260 basis points in the quarter. We remain comfortable with our inventory levels. Online sales in the quarter increased 13.9%, reflecting the strength of our digital businesses as we lap our first post-COVID quarter. Growth was led by PCX delivery and online pharmacy. We continue to enhance our customer experience and differentiate ourselves by offering more choice and flexibility. Retail gross margin was 31.1% down 30 basis points compared to last year. The driving factor was higher shrink in drug, where we also saw pressure from lower services revenue. In food, we controlled cost well, investing our savings into lower prices. Across our retail segment, another quarter of careful cost management resulted in an improvement of 60 basis points in our SG&A as a percentage of sales. Adjusted retail EBITDA increased by $142 million or 9.8% in the quarter, yielding a margin of 11.8% up 40 basis points compared to last year. PC Financial adjusted earnings before tax declined by $22 million, largely a function of increased net credit losses and loss provisions and higher interest rates this year. The top line business performance remains in line with our expectations with revenue up $51 million, driven by higher interest income and an increase in consumer spending. On a consolidated basis, adjusted EBITDA margin was 11.9% in the quarter, up 20 basis point compared to last year. Our retail free cash flow was $600 million in Q2, reflecting higher CapEx spend and lapping one-time tax recoveries from last year. In the quarter, we repurchased $500 million worth of common shares. Looking ahead, our second half same-store sale will reflect comparisons against our very strong sales performance last year in both food and drug. At the bank, we expect continued revenue growth from the growth in our portfolio, and we expect to see ongoing pressure on credit loss provisions given current economic forecast. However, we remain confident in our ability to deliver our full year outlook. I’ll now turn the call over to Galen.
Galen Weston: Thank you, Richard, and good morning. I was pleased with another quarter of consistent performance. The business charted strong core results, providing continued confidence that we are delivering retail excellence and serving our customers well. In our drug business, we returned to a more normal growth rate in our front store elevated sales of cough and cold med subsided while beauty remained brisk. And although COVID services have declined nationwide, we are increasing our range of patient care. In fact, fields like every month, another province moves to expand and fund services that pharmacists can provide to plug growing gaps in primary care systems. Just this morning, New Brunswick announced its first six pharmacy primary care clinics following an innovative recent rollout of 26 in Nova Scotia. Yesterday in Ontario, we unveiled two pharmacy sites redesigned to provide more clinical services and a better patient experience. We’ll invest in a total of 72 of these clinics this year, another step towards the pharmacy of the future and our journey to improving Canadians access to primary care. In our food business, market stores continue to perform well, lifted in part by the customer response to our President’s choice summer product lineup, including new customer favorites like frozen mochi and Ube Boba Pie. The ongoing shift to discount continue to pick up steam driving high growth in our stores. Our hard discount locations have never been busier with our highest ever customer counts, double-digit growth and No Frills was recently named the most trusted store for low prices. And we’ll add 25 more to the network this year. As customers focus on value, sales in our private brands continue to outpace national brands, delivering an average savings as high as 25%. And more Canadians are turning to PC Optimum points to fill their carts with redemption rates climbing. We were delighted to see a recent survey that said Canadians are paying more attention to loyalty programs and that PC Optimum is by far their favorite, used an incredible nine out of 10 times. As has been the case since this period of inflation began climbing, our food gross margins declined. The business was highly efficient in the quarter, and we invested those savings and promotions. And once again, our product costs increased more than our prices. Despite Canada having one of the lowest food inflation rates in the world, we continue to face historic cost increases. As our business moves forward so do our efforts to manage our impact on the environment. It was a busy quarter in this regard shortly after our first electric truck hit the road, we announced that five hydrogen fuel cell electric trucks will join the fleet, allowing zero emission deliveries. And we announced that electricity purchased for Alberta supermarkets drug stores, offices, and distribution centers will soon come entirely from wind, sun, and water. The impact will be the equivalent of taking all the homes in a city the size of Lethbridge off the grid. And we’ll cut our national carbon footprint by 17%. We continue to execute well against our business plans and our purpose of helping Canadians live life well. I’ll now open the call for questions.
Roy MacDonald: Thank you, Galen. Michelle, if you’d please introduce the Q&A process.
Operator: Thank you. [Operator Instructions] Your first question comes from George Doumet, Scotiabank. Please go ahead.
George Doumet: Yes, good morning. Thanks for taking my questions. Richard, I believe last call you mentioned a 6.6% Q1 exit in food same-store sales. Just wondering if you can talk to the trends that happened kind of inter quarter in Q2. Was it stable? How was the exit? And any general comments you can have on market share for the banner – market banners?
Richard Dufresne: Yes, so you’re right. That’s – that was – that’s what we sort of guided towards. I think the key perspective to take into consideration is you look at our sales trajectory in dollars and that has continued okay as, and that’s what generated our 6% same-store performance in Q2. But you need to take into consideration then that last year, Q3 in food was 7% same-store sale, and Q4 was 8%. Okay, so we’re going to be cycling that versus like this quarter we cycled 1%. So while sales trajectory will continue, we’re going to be cycling against those figures. So you’re going to see same-store sale drop because of that, but that doesn’t mean our sales are dropping. And you’re going to be see the same for drug. Drug has been 6% this quarter, it was 6% last year. But if you look at Q3 and Q4 are of last year, Q3 was 8% same-store sale and Q4 was 9%. So we’re going to be facing into that as we go forward. But like that, this is part of our plan and so and we still remain very good regarding our outlook.
George Doumet: Okay. And just market share comments you have maybe for the market banners?
Richard Dufresne: Yes, market share like a positive trajectory in the quarter and that’s what I’d say.
George Doumet: Okay. And can you talk a little bit to shrink what areas of the business is most prevalent and what impact that had on gross margins? Maybe what we’re doing to fix it and just how confident you are in kind of maintaining the gross margins flat, I guess.
Richard Dufresne: Yes, a very good question. I think that’s everybody’s question this morning. So yes, so our gross margin is down 30 basis points, okay. In food, it’s a combination of shrink, but also – of also of what we call trading margin, okay, being the fact that our costs have gone up a little bit more than our price. In shoppers, it’s essentially all shrink, okay. So we’ve been talking about shrink for a few quarters now. I think the key point on shrink is that we’ve been investing capital and labor in store for close to a year now. And our view right now, it’s early though, is we see it peaking. We’ve got indicators that are telling us that that it’s – it is peaking and in certain instances getting a little bit better. But we will comment on that in the next quarter because we’re going to be recounting a significant number of stores in this quarter. So we’ll be able to affirm this with confidence when we release Q3, and it’s important for us as we plan for 2024. So I don’t know if that’s helpful.
George Doumet: Okay. Thanks.
Richard Dufresne: Other than that, we feel good about our gross margin performance going forward.
George Doumet: Okay. No, thanks for that. Just one last one, if I may. One of your competitors observed that promotional penetrations exceeding pre pandemic levels. Just wondering how you guys see that and perhaps any commentary you can share to that? Thanks.
Richard Dufresne: Yes, the – we have commented on pre pandemic promotional penetration what we realize also in our own approach to our business, we took out a lot of inefficient promotions, as you’ll remember in 2020. So we’re pretty much at what we call a normalized level of promotional penetration at the moment. And so we’re not going to comment too much on that in the future. Just think about us being back there now.
George Doumet: Okay. Thanks for your comments.
Operator: Thank you. The next question comes from Irene Nattel of RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks and good morning, everyone. I guess what we’re all struggling with is the interplay between the tougher comps a year ago, so slowing same-store sales, but also your ability to get some margin catch up, which was so challenging when we were facing that almost double digit inflation. So can you talk through a little bit some of the puts and takes there and how we should be thinking about that?
Richard Dufresne: Okay, Irene, good question. I think, for us, like we’ve been focused on stability of gross margin and we still feel we’re stable like down 30 basis points for us, we’re in the zone. But what we spend most time focused on is the growth rate of our SG&A, okay. Because if we can manage our SG&A growth rate as a percentage versus the year before, that’s what will allow us to land on our financial framework. And if you look at the performance we’ve had so far this year, and if I look ahead for the second half, I feel good about my SG&A cost curve. And so therefore that gives us confidence in our ability to deliver on our plan.
Irene Nattel: That’s really helpful. Thank you. And how should we be thinking also about the interplay between the consumer trade down activity, promotional intensity? Like where does that all kind of shake out in terms of gross margin? Is it a tailwind, is it a headwind? How does all that come together?
Richard Dufresne: It’s noise at the margin, obviously that because we have two large businesses on side like a big conventional business, a big discount business, okay? So, obviously discount is a lower gross margin rate than market, but like the – and the growth and discount like is markedly higher like same-store sale and discount is markedly higher than market. So you’re seeing that at play, but more sales get more dollars. So it’s like for us, like we’re managing on a consolidated basis, and when we look at it on a consolidated, what we lose from one, we get from the other. And so that’s what we’ve experienced so far, and that’s what we expect going forward also.
Irene Nattel: So Richard, what I’m hearing you say is that we should be slightly less focused on the gross margin per sort of change 30 basis points up, 20 basis points down whatever it is, and focus on the growth in the gross margin dollars relative to the top line or [indiscernible] relative to the top line?
Richard Dufresne: Yes, Irene, but we also look at both. We also look at both and like there’s been a significant effort on shrink that started a year ago because we were starting to see it creep up, okay. And it was not much noticeable. Now it’s noticeable, so we talk about it, but we’ve taken actions a year ago and we’re starting to see the benefits from that were not done in our actions. And – but so with that plateauing and with what we see ahead together, that allows us to feel decent about our performance for the second half. And by the way, we’re thinking about that as we’re planning for 2024. So we’re already well advanced in our planning cycle for 2024, and all of these factors are in play as we prepare for next year.
Irene Nattel: That’s great. Thank you. And finally, just one last question. You brought back a fair amount of stock in Q2. How should we be thinking about the aggregate NCIB as we look in 2023?
Richard Dufresne: Yes, if you look at it and you compare it to last year, we’re more or less at the same place. I think we’re ahead by, I don’t know, maybe 50 million. So for us, like we’re on plan.
Irene Nattel: That’s great. Thank you.
Operator: Thank you. The next question comes from Mark Petrie of CIBC. Please go ahead.
Mark Petrie: Yes, thanks. Good morning. I wanted to just follow up on a couple topics. First, it’s shoppers. I know you spoke about shrink. You’re no longer following it out. Shoppers overall as a margin tailwind, how much of that would you say is its own performance? And how much is just that the growth rate is now normalizing in no longer materially exceeding the food growth?
Richard Dufresne: If you were to exclude shrink gross margin and shoppers would have been up in the quarter. So it was a factor that’s an area where we spent a lot of effort, not like if you go in stores, you’ll see what we refer to as fragrance lockups. That’s where the professional thieves [ph] have been focused on. So we’ve locked up many of these fragrances, and you’re going to see more of those over the coming months. And those are high priced items, which when they go it hurts the bottom line. So as we put that behind, it’ll definitely help shrink. And interestingly, we’re not losing sales. So that was a big fear as we were locking up fragrances that we’d be losing sales, but we’re not losing sales. So that’s going to start to yield benefits over the coming months.
Mark Petrie: Yes. Okay. Helpful. On the pharmacy services, Galen, I know you talked about it in your comments, but I’m just sort of curious you’re lapping some of the big COVID driven services but also expanding these clinics. So where are we at in terms of the progression of that in terms of headwind versus tailwind? Obviously, it’s a headwind right now, but is it more of a headwind now than it was a couple quarters ago? Or and when does that sort of normalize do you think?
Galen Weston: Yes. So it is a headwind entirely because we’re cycling those extraordinary COVID vaccination and COVID test numbers. And so we really focus on what’s happening to the – with the underlying growth rate of the other expanded scope of practice services. And we see very encouraging growth trajectories underneath it all. And so it’ll take until we’ve cycled through the last of that COVID period before we see, call it meaningful growth in the business on an absolute basis. And remember, the way to think about our expanded scope of practice initiative, which includes the pharmacy led clinics and the expanded scope of practice across all these provinces. Think about it as a fast growing accretive contributor to the business that will drive or will help us drive our financial framework. It’s not going to deliver a step change in growth in sales or in profitability, but it will give us that long-term tailwind that will allow us to continue to perform as we have for the last number of years in that business.
Mark Petrie: Yes. Understood. And just maybe just to follow up on that, are these pharmacy care clinics, like how do the economics on these sort of stack up versus other investment opportunities in the store network? And I’m sort of thinking of just regular store renovations or new stores. What do the paybacks look like for those care clinics?
Galen Weston: So it depends. There’s a pharmacist led clinic inside a pharmacy and that has a very high payback relative to what you would consider, say a new store. Think about it as a – as an incremental renovation with meaningful sales upside. So that would be superior to the sort of regular return rate. And then you have the standalones, which are far less in number than the in-stores, and they have slight, what I'd describe as slightly pressured core returns until you add the pharmacy prescription on top of it, which has always been a major amplifier for any investment that we've made in medical clinics. And then it delivers a very healthy return that would be in line with or above return rates we get for Shoppers Drug Mart.
Richard Dufresne: Yeah, Mark, just to give you some order of magnitude, like we bill two of these though, and it's our first two, so we didn't spend much time focused on the return, but like, we're talking a few hundred thousand dollars. This is not millions of dollars though. And I can tell you the first two, I'm sure they will look amazing because they want make it look good for us though. But the next ones that are coming, once we know that the concept is working, we're going to tighten the screws on the cost, but it's not a big cost, so it's not something that you should worry about from a big CapEx standpoint.
Mark Petrie: Yes. Understood. Appreciate the comments. All the best.
Operator: Thank you. The next question comes from Tamy Chen of BMO Capital Markets. Please go ahead.
Tamy Chen: Yes, thanks for the questions. First, wanted to go back to the SG&A, Richard, could you maybe elaborate a little bit more on this quarter in particular, you were able to get pretty good leverage. What were some of the areas that this came from and how should we think about that going forward? When it seems like right on the gross margin side, whether it's shoppers or also the food side, there's limitations to which you can pass through your costs.
Richard Dufresne: Yes. So obviously when your top line goes up 7%, it's definitely helping your SG&A rate. Okay. So, but that's not typical of the growth we get normally in our business. So we don't look at it as a percentage of sale. We look at it at a percentage growth versus the year before. And if you want to drive operating leverage, you need to have your SG&A grow at the lower rate than your top line. And so that's what we focused on, and we've laid out plans that allow us to deliver on that. And our plans for 2023 are quite robust and based on what we see coming ahead, that gives us confidence that we should be able to deliver on our framework. And I was mention – as I was mentioning earlier, right now we're working on 2024 and we're adopting the same approach. We need to make sure that the growth in our SG&NA in dollars doesn't grow too fast because then we won't be able to deliver on 2024. So we're taking actions now to make sure that this happens. And that's how again, in 2024, we should be able to continue to deliver on our framework. So the plan is laid out. It's not like we're going to take more initiatives now, like we have our plan laid out and if we just deliver on our plan, we should deliver on our framework.
Tamy Chen: Okay. And within that, I'm curious specifically on the whole labor and wage environment. I think last quarter you had said the number of ratified agreements over the last few months were at the higher end of the normal range. And I'm just wanting to understand if you think at this point, there might be still some incremental catch up for you and your labor costs with respect to broader market wage inflation that we've seen over the last two or so years, or are you largely through that?
Richard Dufresne: So we know always what's coming. Okay. Like, we know when negotiations happen, and so we budget that in our plan as like everything else. And so we budgeted what's to come as we've answered that question, Galen has answered that question a few times recently, and we talk about like, we've been at a higher end of the range, but it's at the iron end of a range that we're planning for. So that's how we're thinking about it. And right now, based on what we see, we should within our plans on what we see ahead.
Galen Weston: And to your question about catch up, no, we don't have any substantial catch-up issues that we're facing. Think about the more as normal course negotiations. And then the thing that we try and be careful of is locking in growth rates that would not be in line with a long-term inflation rate. So that's where we try and land these agreements.
Tamy Chen: Okay. Thank you.
Operator: Thank you. The next question comes from Michael Van Aelst of TD Securities. Please go ahead.
Michael Van Aelst: Thank you. You mentioned about some of the costs coming down or vendor costs coming down, but not necessarily showing up in the cost gets sold yet. Can you talk about what – give us some insight as to what some of the pushback is from vendors as to why they aren't pushing it down and why they're still trying to push through price increases?
Richard Dufresne: Yes, so I mean, a couple of things. First of all, we're seeing meaningful shifts in a whole line of commodities that are core ingredients in these products. And so that's why we expect products that are heavy in these ingredients to start to slow and ultimately turn the other way. You'll have to ask the packaged goods manufacturers, what their perspective is on, on why they're not bringing retail prices down. They have a litany of explanations for us but the fundamentals are that if the cost of the inputs are starting to slow and reverse, then ultimately we should see some component of that show up in cost increases. And look, we operate as you know, we source a lot of controlled brand product and so we have pretty good visibility into how this should evolve. Having said that, I don't think it's reasonable to expect an aggressive reversion or a shift into a deflationary environment. The reductions that we're seeing in commodities are moderate, they're notable, meaningful, but it's not at this point headed towards a cost reversal.
Michael Van Aelst: All right. On your private label sourcing, is that cost plus?
Richard Dufresne: No, it's negotiated differently depending on the vendor.
Michael Van Aelst: So does that mean you're not necessarily getting cost reductions from your – on your private label either?
Richard Dufresne: No, it’s all I'm saying is that we negotiate them on a case by case basis and we are seeing reductions in some cases with a couple of national brands and with control brand vendors as well.
Michael Van Aelst: Okay. Because I'm trying to see how the cost environment is influencing your private label penetration. It seems like it's still growing. I'm wondering how close you think we are to peak levels in private label and then, I know in the past you've talked about CPG companies are eventually going to try to push back and get some volume back, but it seems like it's tough for them to do if they're still taking double-digit increases. So where do you see private label penetration peaking out, I guess or how soon and what are you expecting over the next year, let's call it?
Richard Dufresne: Yes, you're right. We have talked about this a few times. That we would expect, again, the larger brands to start investing to drive volume. And we're seeing some signs of it but it is – it's emerging more slowly than probably we expected, earlier in the year. And that's benefiting our control brands. And so today our control brands are still growing faster than national brands. And we do think that that will rebalance itself at some point in the relatively near future. But, that really is up to the big brands to determine when and how.
Michael Van Aelst: Okay. And can you just comment to whether you're being, holding onto your margins in private label, or are you seeing any erosion there?
Galen Weston: No, we're holding onto our margins.
Richard Dufresne: Yes, we are. And I think on control then, I think Galen made the point, like, we're still growing faster than national brand, but because of the environment we're in, if you actually go one level down and you look at no name versus PC, no name is still growing like high double-digit. So in today's environment, we expect that to continue just because of the nature of what we're in right now.
Michael Van Aelst: Okay. All right. And then just on the tonnage, I know people like to try and fur tonnage out of your inflation and your same-store sales, but what are you seeing in your tonnage numbers and how do they – what do you believe is happening with your market share?
Richard Dufresne: So I can take tonnage, give you a sense of tonnage, like it's clearly positive in discount, it's somewhat negative and conventional, net low, it's about flat. Okay. So that's where we are right now, which is a significant improvement from where we were at this time last year. But you're now clearly seeing discount being positive territory, and it's been the case for a few quarters now. So that should help you figure out how we're doing on share. We feel we're progressing on share. And so yeah, so that's where we stand right now.
Michael Van Aelst: All right. Thank you.
Operator: Thank you. The next question comes from Vishal Shreedhar of National Bank. Please go ahead.
Vishal Shreedhar: Hi. I was hoping you could update us on some of your adjacent value drivers like freight as a service and media. I know you've installed some screens in your stores and maybe where those businesses are and how much you think they can grow in the near-term?
Galen Weston: Yes. So they're all progressing nicely. We don't have a new frame for you Vishal. So third-party transport, it's a meaningful contributor now in terms of its size and scale. We're investing a little bit of capital in it to, continue that growth trajectory. And remain optimistic about its potential. Media is much smaller as we mentioned the last quarter, we've just completed, well, last quarter we completed a big infrastructure, a technical infrastructure project, which we call RMP, which is essentially the tool that allow advertisers easier access to our customer audiences and to advertise with us. And we're getting really terrific responses back from the industry in regards to that tool. We're delivering on all our financial targets in relation to media now, but it remains small. And it's yet to sort of ramp up at a level, where we would – where it would be relevant to comment to, to you on its size and scope. But with both of these, just keep in mind that our goal is to use these adjacencies to drive that long-term financial framework. In the same way that pharmacy services are going to do, that, that's what transport helps us do. That's what media helps us do. So you need to look at it as all enablers of us delivering that long-term growth rate rather than any of them, contributing to an outsize or step up in terms of earnings growth. Does that make sense?
Vishal Shreedhar: Thank you for that color. Just changing topics here on Lifemark. How’s the integration progressing and how should we think about Loblaw’s appetite for further acquisitions? And what kind of sphere should we think them – think of them being in if that’s in fact being contemplated?
Galen Weston: Yes. So start with primary care delivery, which is the foundation of our sort of adjacent to pharmacy healthcare strategy. And that is driven by pharmacists in the manner that we’ve just discussed on this call over the last few minutes. And then think about another adjacency, which is other forms of care delivery that would be complimentary to that experience. That’s where Lifemark sits and that was the driver behind that acquisition. It has good economics and that it’s accretive, it has a good market tailwind, so it should grow on its own at a sales rate that is higher than the rest of our core business. On a standalone basis, it’s long-term capacity to contribute is accretive and attractive. But the reason that we bought it was because we thought that we could grow that business faster than others by linking it to our existing healthcare customer in a more integrated way. That’s really the prize. And I would say that we are making steady progress testing the thesis and the value of that integration. And we’ll continue to report on progress, but we’re not going to make any more material acquisitions in adjacent healthcare delivery spaces until we are absolutely certain that we are a good owner for these kinds of assets that that there’s a synergy within the enterprise from owning them. So we still got work to do to convince ourselves that that is in fact the case. And you won’t see any incremental M&A until we’re certain that it is.
Vishal Shreedhar: Okay. And maybe a last one for me, just on the population growth and the disparate levels of growth across the country. Are you seeing the impact of that as you look at your business and saying, hey, these regions are benefiting more from population growth and we’re seeing that in our stores and be some less so and so maybe some areas are more competitive or less growth as a result?
Galen Weston: Yes. I mean, we see it every day. The changing demographics in markets all across the country, you see demographic shifts, you see cultural shifts, there are markets where customers are – where Canadians are moving to small towns. And there are small towns on the periphery of big cities that are growing faster today than they were at any point in the last 20 years. That constitutes a new opportunity perhaps for an incremental store. You’ve heard us talk about T&T and the extraordinary success that we continue to experience when we open new T&T stores almost anywhere in the country that is a reflection of immigration and the heavy weighting of Asian immigrants coming into the country. We’ve been refining our No Frills business to better serve the South Asian customer. And we’ve seen fantastic results coming from our work on that front. And then there’s the other tailwind, which is, you want to add square footage that’s in line with accelerating population growth. And as you’ve heard Richard describe on a number of occasions, we are continuing to build our pipeline of new stores so that we can meet that demand and make sure that we’re getting our fair share of the population growth in the country. So it’s a big and important driver, and it’s one of the reasons to have long-term optimism about Loblaw is that population growth tailwind and knowing that everybody needs to eat and that we have formats that meet effectively just about every demographic and every culture.
Vishal Shreedhar: Thank you.
Operator: Thank you. [Operator Instructions] The next question comes from Chris Li of Desjardins. Please go ahead.
Chris Li: Hi. Good morning. Maybe I’ll just start off with a couple of quick clarification questions. Richard, in the beginning, I think you mentioned that you expect food sales to drop in the second half because of tough comps. I just want to clarify, I think you meant sales to maybe moderate and not necessarily decline in the second half? Is that…
Richard Dufresne: No, I did not say sales are going to drop.
Galen Weston: You did. Okay. But you meant, you meant. Yes, just the growth rate’s going to slow. That’s what he meant.
Chris Li: Yes, sorry, sorry. Yes, yes, yes, yes.
Richard Dufresne: You’re not going to see the same same-store sales because we’re going to be cycling higher comp, but, okay. Correction made. Thanks, Galen.
Chris Li: Okay. Sorry guys. I just want to make sure, okay, that’s great. And then just on the shrink, and again, just want to clarify. So the shrink you saw in drug is predominantly because of theft in the beauty category, and so you put measure in place, so that should correct itself in due time. And then on the food side, I just want to clarify what’s driving that is because of the new store growth and being more precisely with inventory count. Is that what’s been causing higher shrink on the food side?
Richard Dufresne: No, it’s still organized crime in grocery also, albeit, not at the same extent as we witness in shoppers as a rate.
Chris Li: Okay. So in both instances, it’s mainly theft that’s causing that higher shrink?
Richard Dufresne: Yes.
Chris Li: Okay. That’s great. And then just on e-commerce, are you seeing any notable increase in adoption either at Loblaw or the industry? Or has the adoption remained largely stagnant because of high inflation and the shift to discount?
Galen Weston: Yes. So you saw that our numbers, I think were up 13% in terms of overall e-commerce volume. It’s important to note that a disproportionate part of that is the pharmacy business, so digital pharmacy prescription – digital prescription filling and so I’ll just focus on PC Express as a good proxy for sort of consumer product online adoption. So that’s in and around flat is kind of the way to, to think about it, maybe a little bit better than that with substantial growth on the delivery side of the equation and a little bit of decline on the pickup side. And that’s blend it out and you get essentially to flat. And so, we are still waiting to see what the normalized post-COVID growth rate is for e-commerce. But it’s certainly not going backwards and we expect it to continue to grow as we look forward. A couple of interesting updates I can provide. Between last quarter and now we launched the PC Pass, which is our subscription product for PC Express for pickup and delivery. We’ve sent fantastic adoption of that product. It’s now up to about 10% of the total sales in PC Express. And then of course, we continue to work away on improving the overall value proposition. And I’m delighted to say, we’re at all-time highs in terms of our service levels and our fill rates for our customers. So the service just gets better and better and we continue to have high conviction that that is a really valuable service for our best customers and that it will continue to grow.
Chris Li: Okay. That’s super helpful because I was going to ask you one of the large discounting competitors recently launched a subscription program for e-commerce, and you guys obviously have a strong one as well. And I was just going to ask among the many tools that Loblaw has at your disposal, how effective is the subscription program to retaining customers? I think you just sort of answered my question there.
Galen Weston: Yes. It’s really been quite powerful. And probably the most encouraging insight is that we’ve acquired many more new customers with the subscription service than we expected. We thought, as you would, that it would be primarily a retention tool. And it is serving that function, but it’s also been a way for us to acquire new customers that have surprised us on the upside.
Chris Li: That’s great. And then maybe finally, I know I asked this almost every quarter, but just any new updates on any potential changes in generic drug prices?
Galen Weston: No updates on that. I think we’ve actually got some certainty with the – I can’t remember now what the organization is called. I think we have clarity on generics and branded for the next couple of years. We’ll follow-up with you to make sure I’m giving you the right insight on that. But no, nothing on the horizon that would constitute a meaningful risk.
Chris Li: That’s great. Thanks very much.
Operator: Thank you. The next question comes from Irene Nattel of RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks. Just one follow-up question, if I might on shoppers and beauty. What are you seeing now in terms of demand run rates? And as consumer wallets are being squeezed, are you seeing any pressure there? How successful are the promotions that you’re running using PC Optimum for beauty specifically?
Galen Weston: Yes, beauty continues to be robust and I think there’s two forces at work. The first one is beauty on the kind of the luxury spectrum of spend on myself. It’s actually relatively low priced, so the alternative of buying a high-end cosmetic product or fragrant versus buying an expensive handbag or a dress. And so it tends to be a lot more recession proof than perhaps other categories. And we are certainly seeing that continue in our business. The second one, which is important to remember is we’ve had a big retailer exit the market in Nordstrom’s in recent months. And that volume, they were a big beauty retailer, and that volume needs to go back out into the market and we would be a disproportionate beneficiary of that in the local geographies where we would be competing with them. So, that’s also helpful for a business like ours.
Irene Nattel: That’s great. So the lipstick index lives.
Galen Weston: Yes.
Irene Nattel: Thanks, Galen.
Operator: Thank you. There are no further questions at this time. Please continue with closing remarks.
Roy MacDonald: Great. Well, thank you everybody for your time this morning. Please reach out to me if you have any questions. And I’ll ask you to mark your calendars for Wednesday, November 15th at 10:00 AM when we will reconvene to discuss our Q3 results. Thanks everybody, and have a great day.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.